Operator: Good afternoon, and welcome to the Fiscal Fourth Quarter and Full Year 2025 Earnings Conference Call for Leslie's. [Operator Instructions] As a reminder, this conference call is being recorded and will be available for replay later today on the company's website. I will now turn the call over to Nitza McKee from ICR.
Nitza McKee: Thank you, and good afternoon. I would like to remind everyone that comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from management's current expectations. These statements speak as of today and will not be updated in the future if circumstances change. Please review the cautionary statements and risk factors contained in the company's earnings press release and recent filings with the SEC. During the call today, management will refer to certain non-GAAP financial measures. A reconciliation between the GAAP and non-GAAP financial measures can be found in the company's earnings press release, which was furnished to the SEC today and posted to the Investor Relations section of Leslie's website at ir.lesliespool.com. On the call today is Jason McDonell, Chief Executive Officer; and Jeff White, Chief Financial Officer. With that, I will turn the call over to Jason.
Jason McDonell: Good afternoon, everyone, and thank you for joining us today to discuss our fourth quarter and full year fiscal 2025 results. Before we dive into today's discussion, I'm pleased to announce that we've successfully completed a smooth transition in our CFO role during the quarter. I'd like to welcome Jeff White, who joined Leslie's in early October as our Chief Financial Officer and Treasurer. Jeff brings a combination of financial and accounting expertise and the operational retail experience that will be instrumental as we continue our transformation journey towards sustainable, profitable growth. Jeff has hit the ground running and is heads down focused on several key areas, helping us lead our critical transformation at Leslie's, including, but not limited to, cost optimization, cash and capital management and leading actions and next steps to address our capital structure. Jeff will provide more detail on these critical areas shortly. On today's call, I will provide a review and a summary of actions we are taking as we execute on the transformation road map for Leslie's future. I will then turn the call over to Jeff, who will discuss our financial results in detail as well as our financial outlook. I'll return with closing thoughts on our path forward before we open the line up for questions. As outlined in this morning's release, we have implemented immediate actions to improve Leslie's operations and accelerate our path to financial profitability. As we look at the past of Leslie's, we've experienced market share loss and the main driver is price value challenge on some of our key items. In specific national research we've conducted, we found that pricing on our key items was often out of step with our competitors. And as the customer environment continues to be more value-focused during these macroeconomic conditions, it is critical that we act and invest in our customer value proposition. While we believe the weather was also a factor leading to our softer sales, our price value equation has been a major contributor to a net loss of over 160,000 residential customers this year and decline in residential traffic in 2025 of 8.6%. Key value item pricing sets price value perception with our customer, and we need to improve here. Price optimization on many of these core items is an area we will address. Keeping in mind, we enjoy a vertical integration on many of these products. As we are streamlining costs in our manufacturing operations, we are also focused on cost optimization efforts across direct materials, packaging and distribution. Layering on top of these operational cost efforts, we've also taken actions to improve our cost structure by announcing the closure of 80 to 90 underperforming stores over the next month. We closed a warehouse in Denver in July, are closing a distribution center in Illinois that will be completed this January, and we are also currently exiting underperforming SKUs in our system. These overarching cost savings will allow us to invest in an improved price value equation on key items. Investing in our value proposition at Leslie's is a top priority to reinvigorate our traffic performance. The great news is that we are adjusting our pricing strategy, and we have the ability to target communications directly to customers based on our zero-party data, which is information that has been provided by the customer to Leslie's. Stated quite simply, we know who our current and former customers are, where to reach them via e-mail, phone or home address as well as other specifics about their pool and historical purchases. Our Pool Perks loyalty program captures these details on over 85% of our transactions. To communicate our pricing adjustments, we are utilizing precision targeted marketing via our customer data file. For example, delivering personalized messages to lapsed customers to directly address what they told us will bring them back. Our research shows the most effective approach combines a clear value message with Leslie's industry-leading expertise and water testing capabilities. We're refining these messages further by incorporating purchase history, regional uniquenesses and local weather events. Once we've established that connection with our customer, we leverage our key competitive advantage in this sector with our consultative destination retail model. Once in the store, we work with the customer and customize a solution specific for their needs. That has been a strength for us this year. In fiscal year '25, conversion rates after a water test increased by 500 basis points year-over-year, reinforcing the trust customers place in our technical expertise. Our 10-point water test delivers a personalized treatment plan tailored to each person's pool environment, size and water composition, driving deeper engagement and continuous improvement in every market we serve. This is a key advantage for us at Leslie's. When customers come to visit us at Leslie's, our team members will help our customers build their basket. Now this is similar to what is commonplace in the grocery industry. Customers come into the grocery store for milk and bread and fill their basket with other items. The same at Leslie's. As customers come in to buy pool chemicals, our team members make sure they have everything they need and build their basket. Our team members in our stores focused on this in quarter 4, and we achieved mid-single-digit growth in units per transaction in the latest quarter. Improving our value proposition with better pricing in combination with our customer service and pool expertise will help us grow the basket, improve overall loyalty and ultimately regain share that we've lost. In addition to the actions of price value improvements, targeted marketing and basket building, another action we're taking is to build on our strengths around expertise and customer service. Today, we are announcing a restructuring of our field teams around a market leadership approach that sharpens our focus and facilitates deeper multichannel consumer relationships to drive growth. In the past, we've operated in silos, stores, service, commercial and trade were all separate within the Leslie's organization. We are integrating at a local level, giving our managers clear ownership of the pools in the markets and ZIP codes they lead. This restructuring accelerates our vision of becoming America's one-stop shop for pool care. By combining our customer file with our new market leadership model, we will strengthen customer relationships and capture significant growth across millions of pool owners in local markets. The new structure enables full service delivery in every store from BOPIS and service appointments to equipment repair and improved PRO fulfillment. Supported by our vendor partners, we will also launch deeper training ahead of next pool season to elevate our pool expertise nationwide. These actions all fall under our customer centricity pillar that I've mentioned on past earnings calls and are focused on the Leslie's value proposition and targeted customer approach, which will help Leslie's drive traffic and grow our share across the United States. Our next set of actions are under our convenience pillar and are focused on directly addressing the evolving expectations of today's pool owners who demand service when, where and how they want. To be even more convenient at Leslie's, we are accelerating our proximity to pools competitive advantage and our omnichannel transformation by expanding same-day delivery through our Uber partnership. In our Phoenix test market, new technology integrations cut ship-to-home fulfillment from days to hours and often minutes. We are now scaling this model across Arizona, and we'll continue expanding across the United States through 2026. Another action we are taking is to build on the pool service and repairs that we provide by expanding our pool maintenance and service offerings in new markets to meet customers' needs. Today, we offer pool service for their equipment in each territory across the country and are looking to grow this service business. In addition, today, we offer pool maintenance in Northern California, linked to stores in our Sacramento market and have recently added a test market in Orlando, Florida. In our California market, we've experienced strong double-digit sales growth. And overall, we've grown our active customer accounts by double digits as well. Pool maintenance provides a great opportunity for us at Leslie's. Being right there in their own backyard gives us more frequent connections with each of our customers. At Leslie's, we are the easy one place customers can go for quality products, advice to solve a problem, get service on their pool equipment, reliable, accurate water test or in expanding markets, we help maintain their pool. Under convenience, we also continue to optimize our local fulfillment centers to maximize coverage and efficiency while providing flexibility to better manage inventory and reduce working capital. Our local fulfillment centers continue to show benefits, improving in-stock rates and accelerating fulfillment speed, especially in high-volume markets. These local fulfillment centers are giving smaller locations the ability to better serve our PRO customers with access to larger PRO items like 50-pound buckets of chlorine tabs or 100-pound buckets of shock. Additionally, they hold long-tail inventory and stores can meet local customers' needs with having the inventory in the market to help meet the local demand. We look forward to sharing more in the future on how Leslie's will continue to be more convenient and deliver on being customers' one-stop shop for pool care. Now to discuss the asset utilization pillar, which directly addresses the fixed cost deleverage challenge at Leslie's that we have highlighted on past calls and represents one of our most significant opportunities for operational improvement. For asset utilization, we have used a combination of internal and external resources to evaluate our asset base, to help optimize productivity, drive efficiency, maximize profitability and optimize the debt structure. Starting with our stores. We first looked at pool proximity as it is a key competitive advantage, then pool density, the number of pools in the market and then the optimal distance between stores with an omnichannel mindset and approach. We also looked at the profitability and performance of each store. And as mentioned, we made the strategic decision to optimize the Leslie's store network. As I touched on above, we are announcing today that we will be closing 80 to 90 underperforming locations. These stores represent an annual sales impact of approximately $25 million to $35 million, and this decision will yield an annualized net EBITDA improvement of $4 million to $10 million. These locations are across multiple regions across America and are not centralized in one region of the country. For those stores that are closing, we will use a targeted marketing approach to reach out to customers and invite them with a personalized offer to another nearby location and remind them of accessing our portfolio and services online or via our mobile app. These decisive measures will improve our fixed cost structure, enhance EBITDA flow-through and position Leslie's for sustainable profitable growth. As we reset our store network, we are also streamlining our distribution footprint. In quarter 3, we closed our Denver warehouse and seamlessly shifted volume to other DCs, reducing annual cost by roughly $500,000. Looking ahead, we will transition to a more efficient 5 DC network in 2026, including the planned closure of our Illinois facility in January, driving another $500,000 in annualized savings. The Illinois location was mainly focused on our e-commerce fulfillment. Our optimized 5 DC network will fulfill e-commerce orders closer to the customer through local DCs and support BOPIS in stores, lowering shipping costs and significantly improving delivery speed across our app, website and marketplace business. In another action to improve asset utilization, we are continuing to take a precision inventory approach. Under our recently hired Chief Merchandising and Supply Chain Officer, Amy College, we are improving the Leslie's assortment. The first priority in our inventory optimization work is in SKU optimization. We're conducting a comprehensive assortment review to focus on our highest value inventory items, reducing the long tail of SKUs and deepening our focus on the most valuable items that drive most of our sales. As we enter the 2026 pool season, we are strategically reducing our SKU count by more than 2,000 SKUs, mainly coming from our long tail in e-commerce and marketplace that is fulfilled from our DCs. With the reduction in SKU count in our distribution centers, this enables Leslie's to simplify our go-to-market solutions and our operations. With this reduction, we will improve our annualized EBITDA by $4 million to $5. Building on SKU optimization, inventory management also remains a key priority. I'm pleased with the focus that the team has put towards inventory optimization in 2025 as it simplifies our operations by ensuring we have the right product at the right place with the right level of product depth. In 2025, we rationalized our inventory by $26 million, which exceeded our Q3 commitment of $20 million. Even with this inventory reduction, we improved in-stock levels in our top-selling never out SKUs by over 400 basis points compared to 2024. This in-stock performance helped support strong traffic conversion results by 74 basis points in fiscal year 2025. With a clear focus on inventory, SKU and network optimization, we are targeting continued inventory rationalization by another $20 million to $40 million in fiscal year 2026. As part of our strategic operating review, we continue to be in a process of conducting a thorough assessment of all of our noncore assets. Specific to our Stellar manufacturing facility, it represents a critical vertical integration asset for our key value items like chlorine tabs, and it enables us to compete effectively in the marketplace. Our team is working diligently to drive continued cost productivity at this site, and this will be passed on to the customer in everyday price value. When it comes to our hot tubs and Horizon businesses, we continue to evaluate, and we'll provide a further update on upcoming calls. In summary, we have a very robust asset optimization plan for Leslie's across our stores, DCs, warehouse, inventory and SKU assortment. These initiatives represent the next phase of our strategic transformation plan, which are focused on strengthening our balance sheet, optimizing our cost structure and delivering on operational performance and rebuilding stakeholder confidence. We recognize the urgency of our situation and are committed to transparent communication as we execute these critical steps to restore Leslie's to profitable growth. Lastly, in our cost optimization pillar, we are focused on building a more agile and efficient cost structure that supports profitable growth. With a combination of internal and external resources, we have doubled down on our commitment to accelerated savings and are increasing our cost optimization range to $7 million to $12 million. These savings will begin to benefit the business in fiscal 2026. In summary, these transformative actions represent fundamental changes to how we operate and how we serve our customers. We're building Leslie's to improve our overall value proposition, be more responsive to local market needs while maintaining the scale advantages that make us the industry leader. Our operational and strategic review continues with urgency and discipline. We're assessing performance across our business, our direct and indirect cost structure and other initiatives that we believe will deliver improvements in working capital and profitability. I would now like to shift to a summary of our latest performance. While we're capping off a challenging year at Leslie's, we were able to deliver fourth quarter sales and adjusted EBITDA ranges at or above the high end of our guidance. I will now turn the call over to Jeff to provide a detailed review of our financials.
Jeffrey White: Thank you, Jason. I'm excited to be joining you today as Leslie's new Chief Financial Officer. While I've only been with the company for a short time, I've been impressed by the quality of our team and the dedication I see throughout the organization. I am looking forward to working with everyone as we continue to execute our strategic priorities, and I'm optimistic about the opportunities to help transform the organization. I'll begin my remarks today with a review of our fourth quarter and full year fiscal 2025 financial results, then cover our liquidity and capital allocation plans and finally, review our outlook for 2026. Net sales for the fourth quarter were $389.2 million and came in above the high end of our guided range. This is compared to $397.9 million in the fourth quarter of the prior year or a 2.2% decline. As a reminder, 2025 was a 53-week year, which resulted in 1 extra week in the fourth quarter when compared with the prior year. The 53rd week for 2025 contributed an estimated $18.3 million of net sales and resulted in an additional $0.21 loss to EPS and approximately $760,000 of negative EBITDA compared to the prior year's 52-week period. Same-store sales decreased 6.8% in the fourth quarter on a 13-week basis compared with the same time period of fiscal year 2024. Looking at comparable sales by categories, our chemicals were down approximately 7.1%, and our equipment category was down 7.6% on a 13-week comparable basis. All other departments were down in the quarter, reflecting the tough macroeconomic environment we are operating in and underscores the importance of the strategic initiatives that Jason highlighted in his prepared remarks. On our last call, Jason outlined our strategy to optimize inventory and end the year in a much healthier position. During the fourth quarter, we successfully executed on this plan, exceeding our goal and ending the year with $208 million in inventory. By reducing inventory $26 million year-over-year and over $100 million in the last 2 years, while significantly increasing our in-stock percentage on our core goods, we continue to focus on the productivity, utilization and return of our investment of working capital. Gross margin for the fourth quarter increased to 38.6% versus 36% in the prior year period. This increase was primarily driven by favorable vendor rebates as well as favorable freight costs as we continue to focus on maximizing the efficiency of our spend in our distribution network. SG&A increased 50 basis points as a percentage of sales on a year-over-year adjusted basis. The most significant year-over-year increase was in store payroll, where strategic investments were made to ensure that we were adequately staffed during peak selling times. During the quarter, we recorded a $184 million impairment charge predominantly related to our goodwill due to current business condition as well as partial impairment charges relating to the closure of underperforming stores. We expect to incur further impairment charges in Q1 and Q2 2026 in relation to the closure of stores in the range of $12 million to $17 million and expect to provide updates during our Q1 and Q2 earnings calls. Net loss for the fourth quarter was $162.8 million or $17.54 per diluted share compared with net loss of $9.9 million or $1.07 per diluted share in the fourth quarter of the prior year. Excluding the charges, adjusted net income in the fourth quarter was $840,000 or $0.09 per diluted share compared with adjusted net income of $4.4 million or $0.47 per diluted share in the fourth quarter of the prior year. Adjusted EBITDA for the fourth quarter increased to $45.2 million compared with adjusted EBITDA of $43 million in the fourth quarter of 2024. Shifting now to the full fiscal year. For the full year of 2025, we finished with sales of approximately $1.24 billion and adjusted net loss of $4.70 per basic share. This is compared to sales of approximately $1.33 billion and adjusted net loss of $0.12 per diluted share. Full year 2025 ending inventory was $208 million compared to $234.3 million at the end of 2024, a decrease of approximately $26 million or 11%. On a 2-year basis, inventory is down over $100 million, while our in-stock percentage on our core SKUs is significantly up. Inventory management will remain a primary focus as we now expect to move more efficiently in and out of season and improve the productivity of our inventory as we continue to rationalize SKUs and vendors. For the full year 2025, we incurred approximately $25 million of net capital expenditures, primarily relating to ongoing fleet maintenance and technology investments. This represents an over $20 million reduction in capital expenses versus the same time period of the prior year. Regarding liquidity, we ended the fiscal year with no outstanding borrowings on our line of credit and $752 million of net long-term debt. As of year-end, we had approximately $168 million of availability from cash on hand and borrowings available under our line of credit facility. We used our cash flow generated during the fourth quarter to pay off our line of credit. Turning now to our guidance. We are adjusting our cadence and will now provide annual net sales and adjusted EBITDA guidance, which we will update quarterly. Our focus will be on longer-term measures being a great retailer and returning Leslie's to a more efficient operating business in 2026. We are focused on executing our strategic pillars to stabilize our business and position Leslie's for long-term value creation. Our path to financial recovery includes taking immediate actions to optimize our cost structure and strengthen our balance sheet. Let me walk you through the expected financial impact of the initiatives we have outlined and how it will impact our 2026 financial operating plan. We are making structural adjustments to the pricing of our core chemical products to ensure that we are everyday value priced in the market. This investment is expected to impact product gross margins by 100 to 150 basis points, and we expect to execute on these initiatives starting in Q2 2026. To partially offset this investment into pricing, we will drive internal operational efficiency and continue to work with our suppliers and distribution channels to gain further efficiency. Our store optimization strategy involves closing approximately 80 to 90 underperforming stores. While this will have an annual sales impact of approximately $25 million to $35 million, it is expected to generate net EBITDA improvement of $4 million to $10 million annually once they are fully completed by the end of Q2 2026. During the first half of 2026, we will undertake a comprehensive expense reduction initiative to align our costs with the trends of the business. These efforts will include the renegotiation of all major contracts with our vendors, suppliers and landlords and continued review of our noncore assets of the business. We strongly believe that we can leverage our SG&A to further enhance the profitability of the company as we continue to focus our efforts on driving traffic and transactions through strategic investments in pricing and meeting the customer with the skill and expertise that they expect from Leslie's. Our DC network optimization is well underway. We closed our Denver warehouse during the third quarter and expect this to reduce annual cost by approximately $500,000 annually. We will close an additional distribution center, which will help make our supply chain more efficient. This additional closure is expected to provide $500,000 of savings annually once fully completed in January. We are committed to disciplined inventory management. During fiscal 2025, we reduced inventory levels by $26 million and anticipate reducing another $20 million to $40 million in fiscal 2026 without compromising our in-stock rates on our core products. This will be done through the cleanup of slow-moving inventory that is not providing the gross margin return on investment that we would like to see in certain categories. In cleaning up this inventory, we expect to incur a roughly 100 to 200 basis point onetime reduction to annualized gross margins as we move through the product. We anticipate that this decline will be most pronounced in Q1, Q2 and Q3 as we move through products that are no longer sellable due to age or condition and as we sell through products at discounts during peak selling season. Our SKU rationalization initiative involves eliminating over 2,000 SKUs, driving cost and inventory efficiency. We expect this to lead to $4 million to $5 million in incremental EBITDA savings as we focus our assortment on a true dead net profit metric and the ultimate profitability of every SKU we sell. In total, these cost savings and pricing investments that are needed to be made to the business amount to a net benefit to EBITDA of approximately $7 million to $12 million when fully annualized. And we are carefully evaluating and strongly believe that there are other significant opportunities to further improve efficiencies and profitability in fiscal 2026. Turning to our outlook for fiscal 2026. We are confident in our ability to execute and drive traffic and sales through focusing on meeting the customer with the right product in the right place at the right time and for the right price. We have identified significant cost savings opportunities across our operations. While we are mindful of the uncertain macroeconomic environment and its potential impact on consumer spending, our proactive approach to customer focus and cost management positions us well to navigate this dynamic environment. As is typical in our business, we anticipate generating the large majority of our sales and earnings during the second half of the year, driven by the seasonal nature of our industry. For fiscal 2026, which is a 52-week year compared to a 53-week year in fiscal 2025, we expect sales of $1.1 billion to $1.25 billion and adjusted EBITDA of $55 million to $75 million. Included in our guide is the reduction in sales and increase in EBITDA relating to store closures announced today. Also included in our guide are the strategic pricing initiatives that we have discussed as well as all associated cost savings initiatives noted within today's call. We have not assumed any impacts from abnormal weather patterns or further deterioration in the current macroeconomic environment. We expect CapEx to be in the range of $20 million to $25 million in 2026 as we focus on maintenance and productivity investments as well as providing positive free cash flow for fiscal year '26. As a reminder, while we are not providing guidance for our Q1 period, we expect to experience meaningful headwinds in the business as we anniversary the hurricane impacts felt during Q1 2025, which drove a significant increase in our business, which we are seeing materialize in our actuals as we move through the Q1 2026 period. We estimate that these events drove an incremental 2% to 4% increase in our Q1 2025 same-store sales. Incremental to all the work that Leslie's team has done to prepare and execute on our strategic pillars, we periodically engage advisers to identify opportunities to enhance profitability, optimize our store base and distribution network and advance our strategic initiatives. At this time, we are currently working with Kirkland & Ellis, Centerview Partners, BRG and A&G Real Estate, among others. We are energized by the operating initiatives currently underway, which on top of a now stronger and more profitable distribution network and store base will position the company for long-term success. In closing, we are confident in our strategic direction and our ability to deliver sustainable value for our shareholders. We are taking decisive actions to improve profitability and strengthen our balance sheet. We will remain disciplined with expenses and inventory management, which combined with the cost optimization opportunities we have identified, positions Leslie's for improved performance going forward. I will now turn the call back over to Jason for closing remarks.
Jason McDonell: Thanks, Jeff. I want to take this moment to summarize our actions, which are not just operational improvements, but represent a fundamental reimagining of how Leslie's serves our customers and communities. Through customer centricity, we're returning to our roots as the local pool care expert that customers trust. We've taken decisive action to improve our value proposition by implementing targeted strategies and price value on key items, targeted marketing and a market leadership approach. Through convenience, we're meeting customers where and when they need us, with omnichannel capabilities and comprehensive service offerings. Through asset utilization, we're optimizing every element of our footprint to drive efficiency and profitability. We've conducted a comprehensive review and are executing on optimization opportunities that will structurally improve our cost base and efficiency. And through cost optimization, we're building the agile cost structure necessary for sustainable growth. We've identified significant savings opportunities and are moving with urgency to remove unnecessary costs while preserving our ability to serve our customers. These 4 pillars collectively position Leslie's for long-term profitable growth while maintaining our commitment to maximizing cash flow, reducing debt and building a stronger Leslie's for the future. We look forward to sharing more details on our progress and the path forward on future calls. Most importantly, I want to express my deep gratitude to our entire Leslie's team. Your unwavering flexibility and dedication to embracing our new strategic direction has been remarkable. You've shown incredible resilience, adapted quickly to new ways of working and maintained our commitment to serving our customers. Your ability to execute while we transform, to embrace change while maintaining operational excellence and to stay focused on our long-term vision while managing day-to-day dynamics has been truly inspiring. This transformation is only possible because of your hard work and commitment. Thank you for your continued dedication as we build a stronger Leslie's together. Now I'd like to pass the call back to the operator.
Operator: [Operator Instructions] Our first question comes from Justin Kleber with Baird.
Justin Kleber: First one, Jason, just for you. You mentioned rebuilding stakeholder confidence. So I'm curious if your supplier partners, are they fully supporting your turnaround efforts? Are you getting the right allocation of product you need to serve the customer? And are you getting that at normal payment terms? That's my first question.
Jason McDonell: Yes. Thanks so much for the question, Justin. Yes, our vendor partners have been great partners with us. And as we continue to build our transformation here at Leslie's, that has been key for us in terms of success and having the confidence to build the plan that we're moving towards with the focus on the customer and making sure we have everything from -- and delivering against the in-stock position that we have. I think I mentioned in the call, is like we have just -- the strength of our in-stocks has been very key, with an increase of over 400 basis points improvement in our in-stocks across the network and even our key value items. So this -- it's been a partnership that we greatly appreciate.
Jeffrey White: Justin, it's Jeff. Good to talk with you here. One thing I'll add on that is just as we -- as you hear about the SKU optimization and rationalization, what that helps us do is provide better forecast to the vendor partners, which they really appreciate. So we can plan with them a lot better to get the inventory when we want it, when we need it and make sure it's on time and work with them. So from that aspect, which is really critical compared to how we used to work with them in the past.
Justin Kleber: Got it. Okay. That makes sense, and that's good to hear. And then just a question for you, Jeff, on the EBITDA guide for this year, how much of that do you expect you can convert into free cash this year? Just asking directionally as you did a similar amount of EBITDA in fiscal '25, and it looks like you burned through a bit of cash. So just curious, any directional help you can give us on free cash conversion this year would be helpful.
Jeffrey White: Yes. Well, we didn't provide a free cash flow guide. I can -- I'll tell you that at the midpoint of the guide, we're assuming free cash flow positivity. So up and down from there, it could vary on where we end up, but the midpoint does assume that we're free cash flow positive for the year.
Operator: Our next question comes from Jonathan Matuszewski with Jefferies.
Jonathan Matuszewski: I had 2 questions. And the first one was on pricing. I appreciate the discussion in terms of plans to kind of reinvest back in price to be more competitive. I was just curious if you could help maybe frame where you see the most opportunity across kind of chemicals versus equipment? And just trying to understand, do the price investments you're doing this year get you back to historical parity? Or is the go-forward pricing for Leslie's now going to be a bit more kind of value-oriented? Just trying to get a sense of directionally where we're going with pricing. That's my first question.
Jason McDonell: Yes. Thanks for the question. Obviously, from a pricing standpoint this year, we have spent -- that's been a key area of focus for us, making sure that we have focus on making sure where do we want to make sure that we have that level of focus. For price optimization, we've identified that it's predominantly on our key value items. Those are predominantly in our chemical area that we're focused. And the good thing is we enjoy being -- having vertical integration across our portfolio here at Leslie's, specifically on sort of chlorine tabs. And that's an area of focus that we're going to continue to put on, and that's where we're going to be investing back. From a pricing strategy overall, we've done a variety of different tests in the marketplace, and we continue to hold on the strategy that we want to make sure that we are driving -- be comparable to that of other specialty and ahead of that of -- slightly ahead of that of big box and other major retailers. And that changed a lot this year because in quarter 3, we saw some aggressiveness in pricing that pushed into quarter 4, and we reacted, and we saw some good performance from it. So that's exactly where we're going to be investing. We plan on continuing to keep that strategy going forward. It's really about the everyday focus that we're going to be bringing to the business, and that's the spot.
Jonathan Matuszewski: Okay. That's helpful. And then my follow-up question, just on kind of the EBITDA margin guidance. Looks like maybe just over 0.5 point of margin expansion at the midpoint. Just trying to get a sense of maybe P&L geography a bit. Is it fair to expect, given the price investments for gross margin to be down year-over-year and the EBITDA margin expansion is being largely driven by SG&A operating expense rationalization? Or just want to get a sense for that framework.
Jeffrey White: Yes, Jonathan, great question. This is Jeff. Good to meet you. As we think about that, you're right, we talked about there's margin degradation built in into the guide. I think I gave 100 to 150 basis points due to the pricing investment. We're going to look at ways to offset that in gross margin, whether that be through freight expense reduction and/or occupancy costs, which goes up into COGS for Leslie's. We'll also look at SG&A. As we talked about on the call, we're identifying and are currently working hard to find ways to optimize our cost base and bring down the amount of SG&A that we're running through as a percentage of sales. So as you flow it down to EBITDA, you're seeing a mix of both kind of gross margin and an offset in SG&A that gives you that slight increase on a year-over-year basis.
Operator: Our next question comes from David Bellinger with Mizuho Securities.
David Bellinger: First one on the store closures. You called out a $25 million to $35 million impact to revenue. That seems like a pretty low average unit volume on those units, even if it's just a partial year. Is there potentially another tranche of locations you could close on top of the 80 to 90 that are still well below the company average? Is there a larger subset of stores? Or is there something else you could tap into throughout 2026 if this sales recovery doesn't materialize into next year?
Jeffrey White: Yes, David, it's Jeff. Great question. As we did this optimization exercise, and we looked at the profitability of these stores, you're spot on that they were a low sales and obviously not making profitability in terms of a 4-wall EBITDA basis. As we peel these ones back, I'm happy to say that from here, the group of stores, everything for the most part is profitable. If sales continue to decline, I think there's further opportunity to continue to look at stores that may be on the line and look at potential closures in the future. That's something that as a good retailer, we're always going to be looking at. But for right now, this takes out the majority of the unprofitable stores that we have in the chain on a 4-wall basis.
David Bellinger: Got it. And then maybe a 2-part follow-up on the lost customers. I think you mentioned $160,000 lost retail customers. Do you have a sense of where those customers went? And second piece is on getting them back, the targeted marketing, the price investments, is there a way to quantify just how much that should cost in order to regain those lost customers?
Jason McDonell: Yes, great question. So firstly, the net loss of the customers was $160,000, as you mentioned. The one thing we know about these customers is about 80% of them were switchers. So the great thing about these customers is they are current Pool Perks -- they're Pool Perks members. So we know exactly who they are, where they -- what stores they bought in, where they live in terms of their pools and the communities they're in. And honestly and candidly, also what's the reason why they left because we know these are highly conscious towards -- they like our expertise. They like the water testing, but they have an area of opportunity when it comes to price value. So we are going to make sure that we are specifically targeting them with marketing efforts. And because of that level of precision that we have in targeting them, it becomes a rather efficient marketing spend because we can specifically target them with customized offers to bring them back. And then when they come back, we can then use our consultative approach in our stores to help build the basket and keep them on as customers. So that's what we are doing, and that's what we're currently doing in the marketplace.
Jeffrey White: Yes, David, just to add a little more color in terms of how we're looking at 2026 guide, the guide does not imply an increase in marketing spend compared to where we've historically been. It's a redeployment of existing dollars and putting them into a more efficient channel that generates a higher ROA. So we're not -- the guide doesn't have an increase in marketing spend. We're keeping it flattish. It's a shift in effectiveness of marketing spend.
Operator: Our next question comes from Simeon Gutman with Morgan Stanley.
Lauren Ng: This is Lauren Ng on for Simeon. First, can you comment more on the competitive dynamics you saw in Q4 and maybe how you're thinking about your competitive positioning for '26?
Jason McDonell: Yes. I would say from a competitive dynamics, if I step back to quarter 3, in quarter 3, we saw heightened competitive pricing in the marketplace. We had a bit of a late season in quarter 3. So because of that, we had excess supply in the marketplace. And when we saw that excess supply, we saw some price activity in the market. That carried itself through quarter 4. We obviously -- we reacted to that and made sure that we were aggressive in the -- we were also aggressive in the marketplace on price to make sure that we could remain competitive. We've seen sequential improvement in our performance from quarter 3 to quarter 4. And -- but that's why we also have the insight around making sure that we are sharper on our key value items, and that's why we're committed to drive improvement going forward and are confident in our actions that we're going to do to drive share performance in the future.
Lauren Ng: Okay. And just a follow-up. Can you give an overall assessment of your strategic pillar framework? Like what have been your biggest learnings? What's gone right versus maybe wrong? And how should we think about it for '26?
Jason McDonell: Yes. So thanks for that question. I would say the great -- the first thing about our strategic pillar framework is it has provided the unification across our team to be very focused on a common vision across the organization as we want to be the one-stop shop for pool care across America. And I feel very good, especially in this call and what we've announced today around our actions that we're taking across those key pillars of cost optimization and asset utilization and convenience actions we put in place. I think the biggest area of opportunity that we need to make sure that we're doing to bring our market share back in the marketplace is really by embracing the customer and winning in the residential business and building traffic. And that's why we're making the clear actions of investment around value for the customer so that we can win by improving our price value on our key value items. That's our area of opportunity.
Operator: Ladies and gentlemen, thank you for your participation. This concludes our question-and-answer session as well as today's conference. Please disconnect your lines, and have a wonderful day.